Executives: Janet Gill - CFO Michael Mathews - CEO
Operator: Good day ladies and gentlemen and welcome to the Aspen Group Inc. Fiscal Year 2015 Third Quarter Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. And instructions follow at that time. (Operator Instructions). As a reminder today’s conference is being recorded. I would now like to turn the conference over to Ms. Janet Gill. Ma’am you may begin.
Janet Gill: Good afternoon. My name is Janet Gill, and thank you for joining us today for Aspen Group's Fiscal Year 2015 Third Quarter Earnings Call. Please note that the company's remarks made during this call, including answer to questions including forward-looking statements which are subject to various risks and uncertainties. These includes statements relating to expectations from our nursing programs, increase in marketing spend, growth in revenue, and adjusted-EBITDA. Actual results may differ materially from the results predicted, and reported results should not be considered as an indication of future performance. A discussion of risks and uncertainties related to our business is contained in our filings with the Securities and Exchange Commission, particularly the section titled Risk Factors in our Form 10-K for the fiscal year ended April 30, 2014. Aspen Group disclaims any obligation to update any forward-looking statement as a result of future development. Also, I'd like to remind you that during the course of this conference call, we'll discuss adjusted EBITDA and adjusted gross profit, which are non-GAAP measures in talking about the Company's performance. Reconciliation to the most directly comparable GAAP financial measures are provided in the table in the press release issued by the Company today. There will be a transcript of this conference call available for one year at the company's Web site. I'd now like to turn the call over to the Chairman and CEO of Aspen Group, Mr. Michael Mathews.
Michael Mathews: Thank you, Janet. Joining me on the call today of course is Janet Gill, Aspen's Chief Financial Officer. I'll begin today by reviewing the financial highlights of our third quarter. Then I'll provide a business update focusing on our extremely successful Bachelor of Science and Nursing or BSN marketing launch and what the implications are for future growth and revenues. After my prepared remarks, we'll then turn to Q&A. Okay to open, quarterly revenues were $1,286,138 which represents an increase of 28% year-over-year. Aspen Group's gross profit for the third quarter totaled 499,922 or 39% of revenues as compared to 389,221 or 39% of revenues from the comparable prior year period. Our adjusted gross profit exclusive of depreciation and amortization totaled 623,770 or 49% of revenues as compared to 501,856 or 50% of revenues from the comparable prior year period. Year-over-year, our gross margins were flat as a result of Aspen increasing its year-over-year marketing spend rate in December and January by an average of 41%. We expect this quarter's current -- sorry, we expect this current quarter's growth in new student enrollments to improve gross margins next quarter and in subsequent quarters. Please be aware that when we increase our spend rate in a given quarter as we did this past quarter, there's a one quarter lag effect, given that it takes on average between 60 days to 90 days to convert a new student lead into an enrollment. Our adjusted-EBITDA improved to a loss of minus 600,522 as compared to a loss of 607,382 in the comparable prior year period. The flat adjusted-EBITDA results year-over-year is primarily result of Aspen increasing the size of its call center by 64% to effectively manage the increase of new student leads starting in December. The Company expects adjusted-EBITDA results to improve next quarter and in subsequent quarters. Operating income improved to a loss of 1,212,067 as compared to a loss of 1,496,412 in the comparable prior year period. Finally, net loss applicable to shareholders was 1,244,322 or loss per share of $0.01 as compared to a net loss of 1,726,587 or a loss per share of $0.03 a year ago. From a balance sheet perspective, Aspen ended the quarter with a cash balance of approximately $2 million, which includes 888,225 of restricted cash. Finally our total stockholders' equity ended at a positive 883,323. Now let's discuss our business progress. On November 10th last year, we announced that we had received accreditation from the CCNE for RN to BSN undergraduate nursing program. We communicated in our announcement that this was a seminal moment in Aspen's history. Let me explain why. Nursing is one of the fastest growing occupations in America today. It's estimated that an incremental 1 million nurses will be required within the next seven years, based on the aging baby boomer population and the fact that RNs today are on average 48 years old to make matter worse 80,000 student applicants each year are turned away by nursing schools due to capacity constraints. Moreover only 55% of RNs today actually hold a bachelor of science in nursing degree or higher. Therefore, given that it’s estimated there will be a total of 3.24 million RNs in the work force by 2022. Aspen calculates that the total targetable market size for our BSN program to be 1.75 million RNs. Aspen’s tuition is $9,750 for its 10 course BSN completion program which means that this is a $17 billion addressable market that Aspen is now attacking. Given Aspen is the only university in America that offers RNs the ability to earn their BSN debt free by simply paying their tuition at $250 per month over 39 months. We believe that we will capture our fair share of the $17 billion opportunity in the coming years. As previously announced, since the launch of the BSN marketing campaign in mid-November Aspen’s growth rate of new student enrollments has accelerated significantly. As I mentioned earlier, it takes on average 60 to 90 days for a new student lead to convert into an enrollment. However, Aspen began seeing BSN leads convert to new student enrollments at the beginning of January only six weeks following the marketing campaign launch. Last month, the month of February, typically a seasonally slow month for new student enrollments, Aspen enrolled 141 new students which equals an average of 5.04 enrollments per day. Of those 5.04 enrollments per day in February, on average, approximately two of the five were BSN enrollments. Consequently, Aspen is now forecasting new student enrollments to increase by 81% year-over-year in the current quarter ending April 30, 2015. But what does this mean for future revenues? Aspen’s estimated average revenue per new student enrollment is approximately $6,000 today which is earned over three years. Aspen delivered 1,008 new student enrollments during calendar year 2014 which equates to revenues of approximately $6 million which is earned over three years. However, should the pace of enrollments continue to rise by 81% year-over-year in calendar year 2015 that would equate to 1,704 new student enrollments with a revenue value of approximately $10.2 million earned over three years. Clearly, the investments we made this past quarter to increase our growth rate in terms of the advertising spend rate and the increased size of the call center, our investments that show promise to deliver handsome returns in coming quarters. In closing, Aspen is pleased to announce that our national accreditation agency, the distance education and accrediting council recognized by the U.S. Department of Education just informed Aspen that it has renewed our accreditation for five years to January 2019. That ends my prepared remarks for this afternoon. Now we’d like to open the call to address any questions.
Operator:
Michael Mathews: So I want to thank everyone for joining us this afternoon. And we very much look forward to talking to all of you and giving you updates next quarter and in future quarters. Things obviously look quite good for Aspen as we move ahead. Thank you for coming again today and we’ll talk soon. Bye now.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program. And you may all disconnect. Have a great day everyone.